Operator: Good morning, ladies and gentlemen, and welcome to Avient Corporation's webcast to discuss the company's fourth quarter and full year 2024 results. My name is Michelle and I will be your operator for today. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. I would like now to turn the call over to Joe Di Salvo, Vice President, Treasurer and Investor Relations. Please go ahead.
Giuseppe Di Salvo: Thank you, and good morning to everyone joining us on the call today. Before we begin, we'd like to remind you that statements made during this webcast may be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements will give current expectations or forecasts of future events and are not guarantees of future performance. They are based on management's expectation and involve a number of business risks and uncertainties, any of which could cause actual results to differ materially from those expressed in or implied by the forward-looking statements. We encourage you to review our most recent SEC filings and any applicable amendments for a complete discussion of these factors and other risk factors that may affect our future results. During the discussion today, the company will use both GAAP and non-GAAP financial measures. Please refer to the presentation posted in the Investor Relations section of the Avient website, where the company describes the non-GAAP measures and provides a reconciliation for historical non-GAAP financial measures to their most directly comparable GAAP financial measures. A replay of this call will be available on our website. Information to access the replay is listed in today's press release, which is available at avient.com in the Investor Relations section. Joining me today is our President and Chief Executive Officer, Dr. Ashish Khandpur; and Senior Vice President and Chief Financial Officer, Jamie Beggs. I will now hand the call over to Ashish to begin.
Ashish Khandpur: Thank you, Joe, and good morning, everyone. 2024 was my first full year as CEO of Avient and an important year of change for our company. Over the course of the year, we developed and launched a new strategy to deliver and accelerate organic growth. As part of our evolution as a company, we articulated a new purpose which is to be an innovator of material solutions to help our customers succeed, while enabling a sustainable world. Our strategic approach is to intersect secular trends and high-growth markets with our technologies to create product platforms of scale. We have conducted extensive portfolio prioritization and identified growth vectors to both catalyze growth in our core and to build businesses in high-growth markets supported by secular trends. As we began deploying our new strategy, it was important that we also remain focused on delivering performance in the present. Our overarching objective is organic top line growth with margin expansion on the bottom line. I'm very pleased to report that in 2024, we delivered both. On this slide, we present organic revenue growth by region, which removes the impact of FX for the full year 2024. As you can see, we grew organically in every region of the world, including EMEA, where the macro environment was quite challenging. We also realized significantly higher growth versus respective regional GDP for the U.S. and Canada, Asia and Latin America regions. This was driven by our enhanced focus on customers, share gains, winning new product specifications and restocking in certain end markets. Some of our key highlights for full year 2024 are shown in this next slide. Organic sales for the total company increased by 4%. Both our business segments grew and both expanded adjusted EBITDA margins. Organic sales growth was 3% for Color, Additives and Inks, or CAI segment and 6% for Specialty Engineered Materials or SEM segment. Adjusted EBITDA margin expansions were 90 basis points and 110 basis points for CAI and SEM segments, respectively. For the company, our adjusted EBITDA margins expanded 20 basis points to 16.2%. Operationally, we remain disciplined and leveraged our top line growth to deliver 13% adjusted EPS growth for the year, which includes the impact of FX. In December, at our Investor Day in New York, we shared our new company purpose and strategy, which has already been under execution for some time. We strengthened our leadership team with new appointments for the CTO, CIO, General Counsel and SVP of New Business Development and Marketing Excellence roles. Since then, in early January this year, we have rolled out a new incentive compensation plan for the company to ensure there is a direct alignment between executing our strategy and how and where our employees are focused. And culturally, like every year, we strive for continuous improvement. That starts with safety. I'm proud to share that 2024 was a record year for safety for us and our injury incident rate was the best in the company's history. That being said, our ultimate and ongoing goal remains 0 injuries. So we will continue to be disciplined and focused on further improving our safety performance. One last point I would like to highlight for the year is our 5% dividend increase. That increase marked the 14th consecutive year of annual dividend growth for Avient. At the Investor Day in December, we also shared our prioritized growth vectors. One of our identified growth vectors is composites for defense and law enforcement to catalyze growth in our core business of advanced protective materials. The market need for lighter and better protection materials is driving strong innovation in our labs and manufacturing processes. Today, I will highlight a new innovation in our Dyneema portfolio that is used in Military and Law Enforcement applications. As you may know, Dyneema is the world's strongest fiber and we just announced a breakthrough launch of our third-generation technology of this product line under Dyneema-HB330 and Dyneema-HB332. This innovation offers industry-leading performance through unmatched ballistic protection that is able to stop high-velocity threats with precision. It has outstanding thermal performance and retains its stiffness and properties in high temperature environments.  And its ultralight strength delivers the lightest possible solution for hard ballistics applications without compromising protection. For law enforcement, this innovation will enable a high-performance system that is up to 45% lighter than current solutions in use. For military personnel, it will enable upwards of 20% rate savings when compared to current materials that have been incorporated into military hard armor contracts. The lightweight strength of Dyneema enhances agility, comfort and overall mission effectiveness for those who protect and serve. This proprietary and revolutionary innovation will be used by our customers for both personal armor and vehicle armor. Before I turn the call over to Jamie, I would like to comment on a significant decision we have recently made in the first quarter of this year. We decided to seize all work related to the implementation of S/4HANA a cloud-based ERP system, which we had begun some time ago. The decision was based on the risk, complexity, time and associated costs, all of which have substantially increased to complete the project. Accordingly, the initial value proposition of the project no longer holds true. Further, we have determined that there are alternative solutions less than a global ERP system that are less costly, easier to implement and can deliver substantially the same benefits, which will ultimately deliver better returns for our shareholders. As a result of this decision, the company will recognize a noncash impairment charge of approximately $71 million associated with capitalized implementation costs and a charge of approximately $15 million associated with contractual obligations for license fees in the first quarter of 2025. These charges will be considered special items and are not included in our adjusted 2025 projections. I want to reassure our investors that we don't take such decisions lightly, but I fully believe it is the right one going forward for the company and our shareholders. With that, Jamie can provide more context on 2024 and outlook for the year ahead.
Jamie Beggs: Thank you, Ashish, and good morning, everyone. The headline for the fourth quarter is that overall earnings results were in line with expectations. We delivered within our guidance range for both adjusted EBITDA and adjusted EPS. The rapid strengthening of the U.S. dollar against other major currencies in the fourth quarter unfavorably affected our EBITDA results by $2 million and EPS by $0.01. As a reminder, approximately 60% of our revenue is generated outside the United States. From a total company perspective, the fourth quarter marks our third consecutive quarter of organic sales growth, which grew 5% year-over-year. Adjusted EBITDA and adjusted EPS were down slightly as the benefit from higher sales was more than offset by the year-over-year impact of variable compensation accruals as we said would be the case during our last quarterly earnings call. This negatively impacted fourth quarter adjusted EBITDA and adjusted EPS by $10 million and $0.08, respectively. Turning to segment performance. Color, Additives and Inks grew organic sales by 3%, driven by strong demand in drug delivery, consumer discretionary products, particularly in Europe and Latin America and building and construction materials in the United States. Offsetting the growth in these end markets were sales into transportation, where both the U.S. and Europe were down year-over-year. While the segment did benefit from raw material deflation in the prior quarter, this is not the case in the fourth quarter, where the segment's raw material basket was essentially flat to last year. Higher sales and favorable mix partially offset the impact of variable compensation reset which resulted in an EBITDA decline versus the prior year. Our Specialty Engineered Materials segment posted 8% sales growth and 13% EBITDA growth, excluding FX. This segment was supported by robust demand for engineered materials and remote monitoring devices for health care applications, composites for building and construction and wind energy applications, as well as moderate growth in defense and consumer applications. The segment had overall raw material inflation, primarily related to certain flame retardant materials, but pricing and mix were favorable, resulting in a net price benefit of $3 million for the quarter. Higher sales and favorable mix more than offset the impact of variable compensation within the quarter, leading to adjusted EBITDA growth as well as margin expansion for the segment. Moving to the full year results for 2024. We accomplished what we set out to do by growing the top line in excess of market as well as the bottom line through customer intimacy, innovative offerings and operational discipline. Starting with the segments. Color, Additives and Inks grew organic sales by 3% in 2024. Performance was driven by new applications for drug delivery and building and construction as well as demand recovery and packaging and consumer end markets. Adjusted EBITDA margins expanded 90 basis points, driven by operating leverage from higher sales and favorable net price benefit. SEM sales grew 6% over the prior year, excluding the impact of foreign exchange. The Composites business, which represents approximately 55% of the segment benefited from strong demand and defense applications as well as growth in building and construction. Composite growth was tempered by destocking in the telecommunications end market. This segment also grew with Engineered Materials, especially in health care applications. Adjusted EBITDA margins expanded 110 basis points, primarily driven by operating leverage from higher sales and favorable mix from margin-accretive platforms. For total Avient, adjusted EBITDA grew 6%, excluding foreign exchange, to $526 million for the full year. Earnings growth came from higher sales, favorable net price associated with raw material deflation and lower costs from productivity measures. Taking this earnings growth and adding lower interest expense, we ended the year with adjusted EPS of $2.66, representing 15% growth over the prior year, excluding FX. Turning now to our 2025 guidance. For the first quarter, we are projecting adjusted EPS to be $0.76 in line with the prior year first quarter and includes a $0.04 headwind associated with the strengthening U.S. dollar. This translates to 6% adjusted EPS growth, excluding FX. You may recall that last year's first quarter results benefited from the timing of outsized defense orders. As a reminder, the order patterns and sales for this market can be lumpy, resulting in quarterly swings. So when considering this difficult comparison to the first quarter last year, this is an encouraging start to 2025. From a full year perspective, we are providing a range to accommodate the current macro environment, which includes several uncertainties. We noted a few of these considerations on this slide, such as the extent and timing of interest rate cuts, the underlying performance of world economies, consumer sentiment and, of course, policy uncertainty and changes. As it relates to potential tariff impacts, our exposure is largely mitigated as the majority of our sales within a country is meant for local consumption. In addition, from a supply standpoint, Roughly 5% of our global raw material purchases are at risk of being subjected to direct tariffs. Of this 5% of our global spend, we are mitigating plans to source the majority from other countries. However, as we said in the past, the real question is the broader impact on global demand, which is uncertain and unquantifiable today. Despite the uncertain macro dynamics like this, we will remain focused on what we can control. Accordingly, we are providing a range for full year projections for adjusted EBITDA of $540 million to $570 million and adjusted EPS of $2.70 to $2.94. The midpoint of the adjusted EPS range represents a 11% growth, excluding FX versus 2024. I'll now hand the call back over to Ashish.
Ashish Khandpur: Thank you, Jamie. And thank you to all listening to our call today, especially to the Avian team out there, who made possible the performance and highlights we reported today. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: [Operator Instructions] And our first question is going to come from Frank Mitsch with Fermium Research.
Frank Mitsch: I think nice end the year. Ashish, you highlighted this Generation 3 Dyneema product. I'm curious as to what sort of impact it would have. I was surprised to see that Defense as a percent of overall sales was steady at 7%, '24 versus '23. Obviously, that could be 6.6% in '23 and 7.4% in '24. But can you talk about this -- the product that you highlighted and your expectations for Defense and in context also of the difficult 1Q comp and what your expectations are for '25?
Ashish Khandpur: Yes. Thanks, Frank, for the question. First of all, I want to emphasize that the product is driven by -- the innovation is driven there by the needs of the market. And that's important because we want to have the innovation to be relevant. And as you saw that it's a significant upgrade to the performance of what both the Military and the Law Enforcement units see or are using today. So with respect to -- this is an important part of our game as we go forward because it helps us maintain our margins, if not increase them, make a more profitable mix out of the [ FY ] and then also stay ahead of the competition. And as I mentioned in my prepared remarks, this is patent-protected proprietary innovation. So it gives us a lot of confidence to -- it creates a moat for us with respect to how to win share against competition and then retain it. So I think all those things are very important. Of course, as I mentioned, the innovation is going to be used not just for personal protection, but also vehicle armor. And then we are continuing to innovate this with rifle-resistant helmet as well in the same spirit. So we are extending this innovation into other applications, and those are under commercialization as well. So I won't give you a revenue number, but I can tell you that this innovation is very well accepted and is being commercialized with full strength in the marketplace, both in the Military segments as well as Law Enforcement and Border Security. With respect to Defense, Q1 last year, as you may remember, was a pretty heavy Defense quarter for us. We had 38% year-over-year. All these numbers I'm going to give you are constant currency or ex FX. So 38% growth year-over-year in Q1. And just to give you a flavor, we -- 63% of our sales of the revenue that -- of the growth -- 63% of the growth of Defense last year came just out of Q1. So that's how lumpy Q1 was last year. What that means is typically, we were $15 million to $17 million over sales than a typical expected quarter would be for Defense. And so that's the kind of headwind we are hitting right now. And as you know, this is a pretty profitable product for us. So both on the EPS side as well as on the sales side, this is a big hurdle to overcome, and the teams are doing everything they can to do that, and that's reflected in our EPS guidance that we talked about in the prepared remarks. So maybe I'll just stop there and see if you have any follow-up questions.
Frank Mitsch: No. Ashish, I appreciate the color, for sure. One of the things the market is now speculating is that we will have peace at some point in Europe, the Russia-Ukraine war. Do you have any insights as to how much that may have been driving some of this business? And what may happen in the case that, that we hopefully do get peace in Russia-Ukraine?
Ashish Khandpur: Yes. So I think short term, we don't expect much change in how this business has been performing. There is a couple of things here. First of all, over time, we have tried to balance our portfolio better. This Defense portfolio is now 60% Military Applications and 40% with Law Enforcement, Border Security as well as National Guard kind of situation. And all those needs are increasing actually, and we are winning businesses in those areas, as there is more focus on border protection, et cetera. So it's a more balanced portfolio versus just being a defense or military application. That's point number one. Point number two, based on the political climate, we expect NATO countries will actually probably increase their spending on Defense and/or try to become more self-reliant versus relying on U.S. itself to provide the solution. And so we expect that, that will -- that should further help some of this business. And then point number three is that we continue to find new applications beyond Defense and Military for this kind of technology, which is specifically in the area of marine and ropes for tugging and building sustainable infrastructure over in the ocean. So all those things are -- the teams are working on and are winning business there. So diversification of portfolio is also as important in this case where we can't find application where this differentiation is appreciated.
Operator: And our next question will come from Mike Harrison with Seaport Research.
Michael Harrison: Let me share my congratulations on a solid finish to the year. I was hoping, Ashish, that we could dig in a little bit more on your decision to seize implementation of the SAP S/4HANA system. I guess just help us understand kind of where you were in the implementation process? Were you in kind of the second or third inning? Or were you a little bit later stage? And remind us also of the timing I guess, of when you were expecting that to be complete? And how do you think the timing of alternatives is going to compare in terms of when this is going to be completed and we could start to see some benefits from the new ERP system?
Ashish Khandpur: Yes. Thanks, Mike, for the question. First of all, we -- our original thinking on this was -- or the plan was to implement it across our U.S. and Canada sites, especially on the Color side of business. And so there was a multitude of sites that were for Phase 1 or cycle 1, if you want to say that, and then move to other parts of the world over subsequent phases. And what we realized after about 2 years of work and as I said, a whole bunch of extended time line and associated costs related with that and resource requirements, they were continuing to creep up as we were going in the process and the project was much more complicated than the team had originally envisioned or thought about. So -- and then what we realized was that, in the end, it was very high risk for us to go with -- in the test cycle, we realized based on the outcomes, it was very high risk for us to go with the implementation across that multitude of sites that we had originally planned. And so we reduced -- we thought about reducing the scope and doing it over a fewer number of sites. And then after those things came up and the cost and the data came out on what would it cost to implement there and the resource requirements, it didn't even make sense to go for us to go forward. So the long and shorter to your answer is that the cost and resource requirements were way ahead of what -- way higher than what we had originally envisioned and the complexity was very high as well. And simultaneously, I would like to point out that there are a lot of new applications that have evolved since we started the project because of all the different software and innovation happening in machine learning and artificial intelligence. That -- those benefits that we had -- we were thinking of realizing with this ERP, we could realize by implementing some of those systems, which are lower in cost and easier to implement and can triangulate the similar kind of data, not exactly the same, but similar kind of information and benefits substantially similar so that we don't see any -- so that we don't lose out on the benefits that we envisioned do, especially on the price realization side, inventory management side and supply chain visibility side. So all those things can be done much faster by implementing certain tools. So we felt it was given where we were in the project based on what it would cost to implement. It's across the globe. It would be a long time and a lot of dollars required versus what we can do with these small subset programs and realize the benefits in a faster way. So when we looked at the 2 options, it was clear to us that this was the right direction to move.
Michael Harrison: All right. And then the other question I had was on health care. It sounds like health care was kind of a driver in both segments in the fourth quarter. Can you give a little bit more detail on the strength that you were seeing in the fourth quarter? And how you would expect trends to play out in 2025?
Ashish Khandpur: Yes. Let me just start by saying that health care was a very strong area of focus for us and also the team delivered double-digit growth in 2024 total year. And then also in Q4, it was double-digit growth as well. We saw north of 15% growth numbers, both in EMEA and Asia. Also, [ USAC ] was pretty positive to kind of close to mid-single-digit growth in health care, and it was driven by both the businesses, as you said. In U.S., we saw restocking of certain health care -- health care supplies, medical supplies area. Also, we saw -- we won some new business around new business with respect to continuous glucose monitoring devices that is creating new business for us. We also saw some business in Asia come from the new drug delivery devices like this injector pens for diabetes, drugs, et cetera, which is also a new business for us. And then finally, in EMEA, again, this remote monitoring devices was a new business win for us that we were seeing -- with that all leading to this double-digit kind of growth that we saw in EMEA as well. So overall, I would say it's a mix of new business wins that the team has had in areas that are growing fast, which are remote monitoring devices as well as injector pens, but also winning in the core, which is where we have applications for medical devices as well as restocking happening in the area of medical equipment like nebulizers and [indiscernible] kind of applications.
Operator: And our next question will come from David Huang with Deutsche Bank.
YIfei Huang: I just want to follow up on Defense. Is the base case in '25 still a mid-single-digit growth. And also, I guess, given the tough comp in '24 and potential for '25, do you expect Defense volumes and earnings that could be down year-over-year in '26 or do you think that will be offset by some of the new innovations and new generation of technologies you have here?
Ashish Khandpur: Yes. Thanks, David. First, let me just talk about 2025 here. I think mid-single digit is the right way to think about it with respect to -- we grew double-digit in defense in 2024. So we grew -- I believe we grew 14% or so in 2024. So it is a big comp to overcome, and I think 5% or so or mid-single digits is the right way to think about it. We -- obviously, our teams continue to pick up more wins as they come. And I would say that 2026, similarly, I mean, we -- it's hard for us to comment. This is a lumpy business, so I don't want to speculate on 2026. But all I can tell you is that we are trying to build our pipelines for the future, and a lot of what we will sell in 2026 will be spec-ed in this year. So as the year progresses, we'll have better visibility. But at this point, I think a mid-single-digit kind of a number is the right way to think about it.
YIfei Huang: Got it. And then just back to the guidance, what's the baseline volume assumptions you have embedded in your guidance? And I guess how much of that will come from new product introductions and, I guess, which end markets will those come from?
Ashish Khandpur: Yes. So I mean, just like -- I mean I want to calibrate with respect to guidance, we gave a range. And if you take 2024 as a reference point, our weighted average real GDP in the regions that we operate, if you weigh them with the revenue exposure we have to different regions, the real GDP was close to 2.5% or so, and we grew organic local currency growth by 4%. So that gives you a feel for that we were doing better and it was all volume or demand-driven growth. So it was -- and I think if -- in 2025, at least on the paper, the GDP projections are similar. So the data point -- our midpoint in our guidance is kind of mirroring that part that we should do kind of a similar year as we did in 2024 if the GDP is the same. Of course, this is a different year than last year. The comps are different, but also the environment is different. But given -- just to give a context, that's where we are at the midpoint. With respect to how much new products, I think what we should think about is typically, if you think about organic currency growth that we've been talking about, that's volume, price and mix. I think typically, in a normal year, if there's nothing uncertain like COVID or something going on, we should be able to use price to offset the inflation. So for us, volume and mix should be able to give GDP plus 100 to 200 basis points of growth that we promised at the Investor Day. And that's how we are thinking for our business going forward, and that's how the teams are operating. Of course, in that mix is the new product piece that you asked about. And innovation is a key central part of our strategy, as you saw on our strategic drivers. So my guess is that it is going to be a significant part of that mix part of the new business -- all these new businesses that we are winning is coming from innovation. And I think you will continue to see that ramp up more and more as time goes on over our strategic period.
Operator: And our next question will come from Michael Sison with Wells Fargo.
Michael Sison: Nice end of the year. It looks like FX will be around a 5% headwind in '25 versus '24. I think you noted that 60% of your sales are overseas. It seems like the new administration wants to bring more manufacturing into the U.S. So, is that -- given your mix of businesses, is that a positive or negative for Avient longer term?
Ashish Khandpur: Yes, Mike, let me just answer it this way. I mean, if you look at our 2 businesses, CAI and SEM, SEM is 55% U.S.-based, and CAI is 33% or so U.S. based. So the exposure of CAI business, Color business, to FX changes is higher than on the SEM side. And so -- and that business is very local. We have to play very close to the customer because the response time on that business is of a few days, 10 to 20 days maximum. And so if you are working with that kind of scenario, you cannot really bring that Color part very far away from where the customer is. So I think on the CAI side, FX is going to be continuing to be a headwind if dollar continues to strengthen. On the SEM side, it's more business, which is spec'd in, like Defense and all where we have a higher pricing power, so to say, and innovation going on. So overall, our FX exposure is quite large compared to other U.S. companies. As you said, 60% of our business is outside U.S. And that's -- depending on which way the dollar goes, one way or another, we could benefit or be a headwind. In 2025, certainly, it's a headwind. And maybe, Jamie, you can quantify that on EPS side on how much headwind we're looking at for 2025.
Jamie Beggs: Yes. Like we said in the earnings release, it's about a $0.12 headwind on a year-over-year basis. And then on an EBITDA basis of around $15 million. So what we see today and obviously, things are dynamic with regards to what's going on in the world, specifically with tariffs and reciprocal net between the different countries. And as Ashish mentioned before, the majority of what we do in all the countries in which we operate is for local consumption and our exposure outside of that is relatively small, less than 5% of our sales. However, how does that going to actually impact demand if inflation takes off is really what's unquantifiable at this point. And it's another reason why we're a little bit more cautious in our guidance because we're not sure how that's going to ultimately impact buying behavior.
Michael Sison: And if just the other part of the question, Ashish, if there's more manufacturing into the U.S., is that a net positive for Avient?
Ashish Khandpur: I think it should be because we would be less exposed to FX. And honestly, it's easy for us to move our supply chains. Really, it relies on our customers. Our exposure from a tariff perspective and RM exposure perspective is very less as Jamie said in her prepared remarks. So that's really not an issue for us. I think we can serve our customers faster without being exposed to FX, if the manufacturing moves here more. So...
Michael Sison: Got it. And then just curious on a lot of the folks who have reported have talked about Europe being -- continues to be really sluggish, if you will. Any thoughts just on Europe, it's a big part of your sales. How is it sort of doing now and what are the ranges of outcomes for that region do you think could happen in '25?
Ashish Khandpur: Yes. So I just want to start by saying that on an organic revenue growth perspective, we have had positive growth printed in Europe, EMEA for the last 3 quarters in a row now. And it has -- overall, Q1 was a negative growth there. And that's why, overall, for the year, we ended up plus 1%. But for the last 3 quarters, we've been winning in Europe. I think we -- on an organic local currency basis, we should continue to drive -- on the Color side, we should continue to drive growth there. I think on the SEM side, it depends on a lot of things, including defense and other parts of the business that whether -- I guess what I'm going to say is it's more clear for us on the CAI side to drive organic growth there. On the SEM side, it could be a little bit lumpy one way or another. And so -- but when you look at it from 2025 perspective, the GDP expectations of that region are close to 1.3%, 1.4% based on our revenue exposures. And so that's much better than what they were last year, which was 0.8% or 0.9%. So I'm expecting that our teams will do better this year in Europe than they did last year based on just the GDP projections.
Operator: And our next question will come from Vincent Andrews with Morgan Stanley.
Steven Haynes: This is Steve Haynes, on for Vincent. I was hoping you could help a little bit with the full year EBITDA guide and bridging it. Maybe just kind of at the segment level, kind of -- you touched on volume before, but maybe just from the margin side of it, how we should be thinking about that?
Jamie Beggs: Yes. I would say that the guidance that we presented today really represents our best view based on the macro dynamics that are there. Ashish mentioned real broadly on how we expect volume to evolve over that time frame and especially with some of the macro dynamics that could influence that. From a margin expansion, we do expect to expand margins similar to what we had mentioned during our Investor Day, where we expect to get operating leverage from the increase of sales, some mix impact based on the innovation that we expect to continue to grow in excess of GDP, and then lastly, some productivity measures that are also in flight. So we do expect some margin expansion. I would say expectations on a year-over-year basis would be in that 25 to 75 bps that are out there. Maybe another piece to consider is that we do expect inflation to continue roughly about 2% or so as we go forward on the raw material side, but we do expect to offset that with pricing as needed. Hopefully, that gives a little bit more color of how we expect the EBITDA and EPS to fall through.
Operator: And our next question comes from Kristen Owen with Oppenheimer.
Kristen Owen: Ashish, you mentioned in your prepared remarks, January, you started a new compensation strategy. It's really related to taking these bigger shots on goal, some of the strategy that you outlined at Investor Day. So I'm wondering how is that manifesting through your sales organization? What are some of the KPIs that you've aligned to that incentive structure to? And how should we, as sort of the outsiders be tracking those KPIs?
Ashish Khandpur: Yes. I mean, I think it's -- as I said, January was just last month. So it's -- we have been pushing it down, like mid-January, we rolled it out. And so the communication has been going out. So far, the response has been quite positive. Of course, we have not seen -- it's too early to say the results and so on and so forth. So I won't comment on that part right now, Kristen. I think the big thing that we made the change was that we had done extensive portfolio prioritization. And based on that, different businesses were in different buckets. We had businesses that had to grow faster, much faster than the macro was. There were businesses that would be growing GDP plus. And then there were businesses that we expect to drive more income and focus more on cash generation versus growth. And so the new incentive plan kind of drives those behaviors and rewards each of those businesses differently versus having one standard package for the entire company. And I think that's a big difference. So based on what the business is supposed to drive, that's the primary KPI or metric we have set it for that business, whether it's sales growth or operating income growth or whatever the case might be. And of course, at a company level, there is a part in the metrics, which everybody has to deliver because there's a company level contribution at that level so that, apart from driving their own business results, they're also helping the company drive what the whole company needs to drive. So it's a balance of those things. It's a little bit more complex plan than what we had previously, but I think it's the right plan, and it's a more customized plan for each businesses where they are on the life cycle of their portfolio.
Kristen Owen: My second question sort of relates to that cash generation piece of this. Just an update, maybe, Jamie, on the free cash flow outlook, just from an EBITDA growth perspective, but also in light of the decision to pause the ERP spend?
Jamie Beggs: Yes. Absolutely. So from a free cash flow perspective, the range that we're anticipating at this point is between $180 million and $200 million. Some of the key components of that would be, as you mentioned, earnings growth. So assuming the midpoint of the range, that's about a $20 million increase on a year-over-year basis. You may have also seen in our press release and the attachments that we also expect to receive insurance proceeds from one of our environmental sites in the first quarter, which will also be a tailwind as we go into 2025. The net of that on a year-over-year basis should be approximately $40 million. And then the other piece to think about is that we do have an incentive payout that was different in '24 versus '25, and that will be a headwind. Some of those parts really get you the $180 million to $200 million on a year-over-year basis.
Kristen Owen: Okay. Anything on the CapEx, sorry.
Jamie Beggs: We expect about $120 million or so. We're still evaluating that number because we want to make sure, as Ashish mentioned, we're really focused on growing the top line. That's in our estimate at this juncture. It may swing a little bit depending on what growth vectors that we plan to fund this year. and that would be partially offset by -- I'm sorry, funded by some of the CapEx avoidance from the S/4 project that we had mentioned before.
Operator: And our final question will come from Laurence Alexander with Jefferies.
Kevin Estok: This is Kevin, on for Lawrence. Most of my questions have been asked, but I guess I'll focus a little bit on end markets. I just want to get an initial sense of what you were seeing in terms of demand in China after the new year. And separately, maybe what you're seeing in automotive end markets?
Ashish Khandpur: Yes. So let me just say that China for us in Q4 grew 7%, Greater China area and pretty strong growth, much higher than the GDP. And most of our business there is for local, about 30% goes outside for export. So we are seeing pretty good growth there. And I think Q1 should be also growing quite well. We are also gaining ground in some of the new technologies of semiconductor and servers for digital -- you hear all this noise about AI and everything, and we are a small part of that and playing into that with some of the customers, putting the servers together. So we are getting into digital economy in China as well, Greater China area, but also Southeast Asia, which is a big hub for digital. And so I think from that perspective, I expect good growth in China, Greater China area and Southeast Asia going forward, which is -- about 80% of our Asia sales is Southeast Asia and China.
Kevin Estok: Got it. And then just on auto?
Ashish Khandpur: Yes. Auto, continue to grow. We had very good growth in transportation area in China in Q4, close to 20% year-over-year. And I think the EV market there is still in Q1 positive, although we did not see the same story in [ USAC ] and EMEA. But in China, EVs continue to grow. And so we are continuing to getting segment to that and winning business there. So I would say a little slower in EV production versus last year, but still, I would say, around mid-single digit kind of production numbers -- volume production numbers.
Operator: Thank you for participating. This does conclude today's conference call. You may now disconnect.